Operator: Welcome to the Fiserv 2023 Second Quarter Earnings Conference Call. All participants will be in a listen-only mode until the question-and-answer session begins following the presentation. As a reminder, today’s call is being recorded. At this time, I would like to turn the call over to Julie Chariell, Senior Vice President of Investor Relations at Fiserv.
Julie Chariell: Thank you, and good morning. With me on the call today are Frank Bisignano, our Chairman, President and Chief Executive Officer; and Bob Hau, our Chief Financial Officer. Our earnings release and supplemental materials for the quarter are available on the Investor Relations section of fiserv.com. Please refer to these materials for an explanation of the non-GAAP financial measures discussed in this call, along with the reconciliation of those measures to the nearest applicable GAAP measures. Unless otherwise stated, performance references are year-over-year comparisons. Our remarks today will include forward-looking statements about, among other matters, expected operating and financial results and strategic initiatives. Forward-looking statements may differ materially from our actual results and are subject to a number of risks and uncertainties. You should refer to our earnings release for a discussion of these risk factors. And now I’ll turn the call over to Frank.
Frank Bisignano: Thank you, Julie, and thank you all for joining us today to discuss another very good quarter for Fiserv. Our results continue to demonstrate strong performance in revenue and operating income with second quarter organic revenue growth of 10%, led by performance in Merchant Acceptance, particularly in our international regions, and our Payments and Network segment. Adjusted earnings per share of $1.81 was up 16%, and adjusted operating margin of 36.5% was up 300 basis points. All three measures are tracking ahead of our previous guidance for the full year. As we look to the remainder of 2023, we note that economists’ expectations have improved for GDP and consumer spending relative to the start of the year. But those economists also forecast a modest macro slowdown from the first half, in part due to higher anticipated unemployment and the reinstatement of student loan repayment. Among our financial institution customers, spending and spending intentions remain healthy even as net interest margins narrow and lending activity eases. Card and non-card payment services, digital banking, IT modernization and data analytics are high-demand services, and financial institutions are looking to us to deliver. With the outperformance in the second quarter, we are once again raising our outlook for the full year. We now expect 2023 organic revenue growth in the range of 9% to 11%, up from 8% to 9% previously. Adjusted operating margin is now forecast to improve at least 150 basis points this year, up from our prior expectation of greater than 125 basis points. With the year-to-date adjusted EPS growth of 14% and the improved revenue and operating margin performance, we are raising our full year adjusted EPS guidance by $0.10 to a new range of $7.40 to $7.50, representing growth of 14% to 16% over 2022. These second quarter results marked our ninth consecutive quarter of double-digit organic revenue growth. We have also repurchased nearly 6% of our shares outstanding over the last 12 months. I am incredibly proud of the strong performance and the hard work, foresight and collaboration that it took to get here. Now I’m focused on sustaining this momentum. There are multiple parts of our business that I consider future growth accelerants. I will touch on five of these today, and then we’ll add and elaborate on them at our Investor Day later this year. Bob will provide more details on this later in the call. The first success story with a continuing growth outlook is Clover, our market-leading cloud-based SaaS operating system for small and medium-sized businesses. Revenue is growing more than 20% on $267 billion in annualized payment volume. This is a testament not only to the appeal of the product offering, but to the power of our vast distribution network. Clover has only begun to scratch the surface on the opportunity in vertical-specific solutions, horizontal value-added services and software and international markets. In the restaurant vertical, we expect to offer the full suite of value-added services and point-of-sale solutions for restaurants and QSRs of all sizes next year. And we’ve begun to build out vertical specialized software solutions for retail and professional services, including partnerships to manage inventory, improve SKU level analytics and manage appointment scheduling. We’re also continuing to enhance our ISV partner program, giving our ISVs access to Clover hardware and processing alongside our value-added services. This will support our growth among additional verticals, including businesses in our back book. An example of this is our integration with SalonUltimate, a vertical software platform provider focused on the salon and spa industry, that will provide a broader combined offering to its large merchant base. Clover now accounts for approximately 25% of our Merchant revenue and remains on track to reach 35% by 2025, in line with our targets for $10 billion in total Merchant revenue and $3.5 billion in Clover revenue by 2025, implying an expected growth acceleration. Following in the footsteps of Clover is Carat, our unified commerce offering for omni-channel merchants. Like Clover, Carat is an operating system that delivers both payments and experiences, but instead of small businesses, Carat is for the world’s leading brands and large enterprises. Carat has been posting revenue growth in the mid-teens on the strength of Fiserv’s scale, flexibility and customization capability, plus key integrated services and broad payment options. We recently released our two biggest differentiators for Carat: Commerce Hub, which is the orchestration layer that enables easy client access to our products and services; and a data and insights command center that lets clients manage their data in real-time to better engage end customers and improve operating efficiencies. Over time, as with Clover, we’ll add more first and third-party value-added services and payment flows and increase accessibility around the world. A third area of growth is digital payments and the intersection with digital banking. CardHub is our card account product for debit card issuers that offers all of the newest features for cardholders to manage their accounts. It helps out small and midsized bank issuer clients offer their customers the same cutting-edge functionality as the largest independent card issuers. We’re about halfway through migrating financial institution clients onto CardHub where they can integrate with our digital mobile banking product, Mobiliti, and with competing digital banking providers. This migration has shown a doubling of customer adoption on CardHub in the first year, which means greater card usage, reduced call center activity and better security. Ensuring new clients to our digital banking solutions, we then tend to bundle our debit processing, debit network and risk services. The full integration of CardHub and Mobiliti is an investment unique at Fiserv because it spans two operating segments, Payments and Fintech, where others don’t participate. Our card solution was strengthened by two acquisitions, Ondot and SpendLabs, in 2021. And it’s just one example of the many cross-selling opportunities specific to Fiserv given our integration work and breadth of capability. A fourth growth area is Latin America. Although we haven’t spoken in depth about our international operations, Latin America has been a standout grower in recent quarters, and we believe it can remain so for the long term. We’ve built a leading franchise across multiple countries and leading financial institutions that spans our product set from merchant acceptance to card issuing to fintech. The region is about 6% of total company adjusted revenue. And in Merchant Acceptance, it’s 10% of adjusted revenue. It’s largely driven by Argentina and Brazil followed by Mexico, Colombia and several others. Argentina has garnered attention lately for 100%-plus inflation. And while this has certainly contributed to some of our Merchant segment’s strength, a bigger and more sustainable part of the growth comes from anticipation revenue, also known as merchant prepayments. This is where we help merchants navigate the long settlement variance in Argentina, Brazil and Uruguay by funding their payment receivables early at a discounted rate. Businesses get better liquidity, and we receive a spread that carries low risk. Other parts of our LatAm business shows strong momentum as well. We will be expanding our relationship with our partner, Caixa Econômica Federal, enabling card payment for their more than 13,000 bill payment agencies throughout Brazil. Fiserv solution will allow agencies to extend bill payment options from only cash and Caixa debit cards today to all credit, debit and prepaid cards. The opportunity is meaningful when considering that in 2022, this agent network enabled bill payments equal to about 11% of all credit and debit payments in Brazil. We are also enabling PIX transactions in Brazil in the P2B space, utilizing our Software Express platform and expanding our presence in PIX beyond P2B. We have also made PIX payments capability available in our large acquiring network in Argentina, supporting Brazilians visiting this neighboring country. We’re excited for the opportunities presented by PIX, and it has already exceeded total card sales volume in Brazil in a short period of time. A fifth opportunity is Finxact. Finxact is the acquisition we made in April of last year to offer a next-generation core banking system that’s cloud-native. It gives us the opportunity to compete and win with financial institutions of all sizes and across geographies, expanding our total addressable market. Our three-prong strategy is to win digital-first banks, provide next-generation core banking through our existing FI clients and add larger banks as clients often starting as they launch new products in the cloud. Another opportunity in Finxact that’s coming together now actually started many years ago. We were an initial investor in Finxact when it began raising money in 2017 because we saw value in marrying a merchant processing platform with a back-office banking platform. Today, that’s called embedded finance, and we are beginning to tap into the opportunity as merchants look to offer banking services to their customers. Their goal is typically to provide more purchasing power and payment flexibility to their customers while creating deeper relationships. Embedded finance will add to the many payment and banking solutions that merchants want to offer and we already provide. Here are some examples. We deliver stored value and gift card solutions to many of the world’s leading brands. We’re the largest private label credit card provider, and we are the processor behind most HSA and FSA accounts. Finxact is the single ledger and issuing platform for products like debit cards and DDAs. And from here, we’re investing in the connectivity between platforms to create a more seamless experience for our clients and their end customers. Now let me turn the discussion over to Bob for more detail on our financial results.
Robert Hau: Thank you, Frank, and good morning, everyone. If you’re following along on our slides, I’ll cover details on total company and segment performance, starting with our financial metrics and trends on Slide 4. As Frank said, our second quarter was a very good one and marked our ninth quarter in a row of double-digit organic revenue growth. Total company organic revenue growth was 10% in the quarter with strong growth across Merchant Acceptance and Payments and Network. Year-to-date, total company organic revenue grew 11%, led by the Merchant Acceptance segment which grew 16%. Our three international regions also continued to perform well, growing 31% organically in the second quarter. We saw strong growth in the issuer solutions revenue across all three regions and robust gains in Latin America for our Merchant segment. As Frank explained, while Argentina inflation grabs the headlines, the bigger driver of our growth here is anticipation revenue, reflecting a newer business for us in Merchant prepayments. In the near future, inflation in Argentina may ease, but it’s likely to stay persistently high relative to the rest of the world. Our broad franchise, new lines of business and strong growth in the rest of the region should balance out any single country’s macroeconomic issues. Second quarter total company adjusted revenue grew 6% to $4.5 billion and adjusted operating income grew 16% to $1.6 billion, resulting in an adjusted operating margin of 36.5%, an increase of 300 basis points versus the prior year. For the first half of the year, adjusted revenue grew 8% to $8.8 billion and adjusted operating income increased 16% to $3.1 billion, resulting in adjusted operating margin of 35.1%, an increase of 240 basis points versus last year and tracking ahead of our 2023 guidance. Adjusted earnings per share for the quarter increased 16% to $1.81 compared to $1.56 in the prior year. Year-to-date through June 30, adjusted earnings per share increased 14% to $3.38 at the high end of our 12% to 14% annual guidance range. Free cash flow came in at $608 million for the quarter and $1.5 billion for the first six months of the year, up 16% year-to-date. Our free cash flow remains on track to reach $3.8 billion this year, and we’ve retained line of sight to accelerating cash flow generation in the second half as is typical for our business. Now looking to our segment results starting on Slide 5. Organic revenue growth in the Merchant Acceptance segment was a strong 14% in the quarter and 16% year-to-date. Adjusted revenue growth in the quarter was 9% and 10% for the first half. Merchant volume and transactions grew 1% compared to prior year. This lower volume performance reflects two temporary factors. First is the decline in retail fuel prices of 27% on average in the quarter, which creates a tough comparison for petrol merchant volume growth. The second is related to some strategic realignment among large processing clients that’s impacting their volumes and represents a large portion of our processing-only volume. Excluding these two isolated factors, volume growth would have been 4%. It’s important to note that volume changes for both petrol and processing-only clients had very little impact on our revenue since petrol clients typically pay per transaction and processing carries very low fees. Nevertheless, they are big contributors to volume and thus the spread between our volume growth and revenue growth is particularly wide now. This should moderate over time. Other factors contributing to the wider spread are rising penetration of software and services and pricing benefits from both higher inflation and added value. We expect these to be positive contributors to revenue on an ongoing basis. Clover, our operating system for small- and medium-sized businesses, continues to build on the strength of its growing product offering to attract and retain more merchants and expand our revenue opportunity with them. Clover posted a strong 23% revenue growth for the quarter and 22% year-to-date. Quarterly Clover GPV was $67 billion and $267 billion on an annualized basis, up 15%. Value-added services penetration was 16%, 1 point above year-ago levels and on track to achieve our 25% target by 2025. We signed 40 ISVs this quarter, bringing our total signed to 77 year-to-date. Our momentum is starting to build with PayFac as well with the signing of Waystar and Pay Theory during the second quarter. Clover Sport added a relationship with a large service provider for the Cleveland Browns Stadium and other venues. Carat, our omni-commerce operating system for enterprise clients, grew revenue 6% in the second quarter. Excluding the loss of a Latin America processing client that began taking its business in-house, Carat grew 14%. While our relationship with the client remains good, we’re focused on growing our higher-value direct business. The underlying Carat business remains strong. We’ve expanded our merchant processing relationship with Inspire Brands, the second-largest restaurant company in the United States, to include several more of their restaurant concepts while continuing our relationship with their Dunkin’, Baskin-Robbins and Sonic brands. The agreement will add several thousand additional restaurant locations to our processing portfolio. Adjusted operating income in the Acceptance segment increased 21% to $718 million in the quarter, and adjusted operating margin was up 350 basis points to 34.7%. Year-to-date, adjusted operating income improved 20% to $1.3 billion, and adjusted operating margin grew 280 basis points to 32.7%. Turning to Slide 6. The Payments and Network segment posted organic revenue growth of 9% in the quarter, once again above the high end of the 5% to 8% medium-term guidance range. Notable growth drivers in the segment included active accounts on file in North American credit processing business; the Output Solutions business; our debit networks, STAR and Accel; and Zelle, led by continued growth in both the number of clients and transaction growth. As we’ve said, we expect tough comparisons through the rest of the year as we anniversary a large new client onboarding completed in mid-2022. Still, we anticipate the full year organic revenue growth rate to be towards the high end of our medium-term outlook of 5% to 8%. Also notable for this segment, two new payments initiatives took effect this month, offering incremental revenue opportunities for Fiserv over time. First, July 1 was the effective date of the Fed’s final rule clarifying parts of Regulation II to make explicit that at least two debit network routing options are required for card-not-present transactions. For our STAR and Accel debit networks, which have been supporting CNP for years, this led to more than 80 of our current issuing clients enabling card-not-present, adding active cards for e-commerce transactions. This is a growth opportunity that we did not previously have. We also won several large e-commerce merchants as clients, including, in the second quarter, Lyft, ADT and T-Mobile. Last week, the Fed launched its real-time payment system, FedNow. So we are now live with six banks in the pilot phase and more than 70 committed to go live so far this year. We are encouraged by the opportunity to add more financial institutions since more than 1,000 of them are already connected to our NOW Network for Zelle, providing a single point of integration that could be leveraged by FIs to easily add new rails. That’s a major differentiator for Fiserv. But the key to FedNow adoption is compelling use cases, which we think will grow over time, most likely in commercial payments and bill pay spaces. Adjusted operating income for the segment was up 17% to $782 million and adjusted operating margin was up 360 basis points to 47.4% in the quarter, driven by our strong revenue growth and productivity. Year-to-date, adjusted operating income was up 16% to $1.5 billion and adjusted operating margin was up 240 basis points to 45.6%. Moving to Slide 7. Organic revenue in the Financial Technology segment declined 1% in the second quarter, resulting in 1% growth for the first half. High periodic revenue in the second quarter of 2022 drove a difficult comparison this quarter, creating a 3-point headwind. We continue to expect organic growth within the guidance range of 4% to 6% this year as in-year revenue is booked and implementation work on prior wins is completed. Adjusted operating income was up 1% in the quarter to $285 million and up 2% to $565 million year-to-date. Adjusted operating margin in the segment increased 130 basis points to 36.3% in the quarter. For the first half, the segment’s adjusted operating margin grew 60 basis points to 35.8%. We added 10 new core account processing clients in the quarter, including four wins for DNA, our market-recognized leading modern core banking platform for banks and credit unions. Fintech showcased its extensibility as an enabler of embedded finance with the win at Pay Theory. This payment facilitator serves the education and the health care sectors and plans to enable a suite of banking-as-a-service and money movement capabilities for its vertical SaaS partners. We are integrating Fintech with our merchant PFAC platform to enable Pay Theory to extend its vertical SaaS capability to banking and payments. Our goal is to provide a single integration for vertical SaaS providers who want to leverage assets across our banking, payments and merchant businesses. The adjusted corporate operating loss was $142 million in the quarter and $264 million year-to-date. The slight increase over the first half last year is largely impacted by expenses tied to our client conference, which we held in-person for the first time since the pandemic. The adjusted effective tax rate in the quarter was 20.6% and was 19.8% for the first half. We continue to expect the adjusted effective tax rate to be approximately 20% for the full year. Total outstanding debt was $23.2 billion on June 30, and the debt-to-adjusted-EBITDA ratio was 2.9 times. During the second quarter, we issued €800 million of eight-year senior notes to replace notes that matured in early July and reduced our commercial paper program balances. Variable rate debt sits at 13% of total. During the quarter, we continued our disciplined capital allocation strategy, repurchasing 8.6 million shares for $1 billion and 21.8 million shares for $2.5 billion over the last six months. We had 70.1 million shares remaining authorized for repurchase at the end of the quarter. As we continue to optimize our vast product portfolio for value and strategic fit, yesterday, we completed the sale of two financial reconciliation products to Trintech for roughly $230 million. We are fully committed to our longstanding disciplined approach to capital allocation, which includes investing in our businesses organically, maintaining a strong balance sheet, returning cash to shareholders through share repurchase and pursuing high-value and innovative acquisitions. And wrapping up on Slide 8. First half organic revenue growth was well ahead of our prior guidance for the full year, so we are again raising the range from 8% to 9%, to 9% to 11%, which considers economists’ range of second half outcomes. Based on the strong second quarter results and higher anticipated organic revenue growth, we are raising our full year adjusted EPS guidance range once again from the previous $7.30 to $7.40 to a new range of $7.40 to $7.50, representing growth of 14% to 16% over 2022. This includes a higher adjusted operating margin now expected to improve at least 150 basis points this year, up from our prior guidance of greater than 125 basis points. Lastly, we’re excited to announce our upcoming Investor Day in New York City on Wednesday, November 15, so please save the date. We’ll spend time going deeper on our growth strategies, and you’ll see how they factor into our outlook when we update our medium-term guidance. It will be a great opportunity to get to know our management team and see some of our products in action. With that, let me turn the call back to Frank.
Frank Bisignano: Thanks, Bob. I’d like to acknowledge our corporate social responsibility programming because it continues to support better outcomes for our clients, shareholders and associates. You’ll find many examples in our annual CSR report published in May. Highlights this quarter include growth in our employee resource groups and internal mobility; additional grants for small business under our back-to-business program; and awards and recognition as a top employer for veterans and National Guard members. We’re also in the process of submitting data to the Carbon Disclosure Project, or CDP, for the third straight year. Finally, I’d like to leave you with some important perspective from our annual client conference, Forum, which we hosted in June. For the first time since the pandemic, we were able to meet with thousands of clients and prospects in person. Together, they represented over 50% of our revenue from financial institution clients. We hosted education sessions on real-time payments, embedded finance and cloud modernization, and an experience center that showcased key products like CardHub, Digital Banking, Finxact and the new Clover Kitchen Display System. As gratifying as this was, the more meaningful takeaways for me can be summed up in three themes I heard from clients again and again. One, they love our products and they’re ready to spend. Our core banking systems, especially Premier for community banks and DNA, our most modern cloud-enabled core, are coveted by bank and credit union CIOs. Our smaller clients remain largely untouched by the March banking turmoil. And our larger clients have one eye on the regulatory environment and the other on how we can help them accelerate their growth. Two, they are rooting for our innovations. Small and midsized financial institutions see Fiserv as their champion for the latest technology solutions. They’re relying on us for their digital and mobile banking, top-tier features in card services, and data and analytics. Three, they have noted our improved service. We’ve already made strong progress in client service with our relationship management model over the past year. Most recently, as an example of our operational excellence initiative this year, we launched a commitment tracker where clients can view the deliverables we promised and track their progress. It’s the first-of-its-kind in the industry for transparency and accountability, and financial institutions now have one more reason to choose Fiserv. So to conclude, as we approach the anniversary of our merger exactly four years ago this week, we are gratified that our vision and execution have proven out with results that exceeded expectations. From here, the combination of our investment, innovation and talented workforce mean the next four years tend to be even better. And now, operator, please open the line for questions.
Operator: Thank you. We would now like to open the phone lines for questions. [Operator Instructions] For our first question, we’ll go to the line of Dave Togut from Evercore ISI.
David Togut: Thank you. Good morning. Good to see the acceleration in Clover revenue growth. Noting the long-term plan to continue to accelerate Clover revenue growth, if we zoom in a little closer on to the next, let’s say, 6 to 12 months, would you expect this trend to continue?
Frank Bisignano: Yes. Thanks, Dave. I mean as you’ve heard us talk over time, we continue to have tons of opportunity, both in the ISV and our day-to-day operating business itself, we expect it to have an acceleration. You’ll see us bringing more software into the product set, vertical solutions. We believe we have a long, long opportunity set in front of us. Remember, we haven’t gone to the back book at all. That’s an opportunity. It’s not anywhere in our guide, that back book opportunity. You should expect us also to continue to add services, and that’s really driving that penetration. So in our vision and in our visibility, we see a continuing acceleration of Clover growth and then we also have international.
David Togut: Thanks for that. Just as a quick follow-up, the 80 issuers that you enabled for card-not-present on STAR and Accel, is there any way you can quantify potential volume from those issuers over the next year or so?
Frank Bisignano: Well, I’ve been super guarded on this item. As I like to say, we’re in early innings. We can only get volume without enablement. So step 1 is enablement. Step 2 is also, as you heard us talking about, merchants wanting it. And you heard us talked to a few today of large players there. I think as we come closer and we talk at Investor Day, you’ll get better visibility to this. It’s not even early innings, it’s the first at bat, really. But we have demand, we have issuer compliance with us on it and we have opportunity in front of us. And fundamentally, I’d like to say, none of this is in today’s set of numbers or the guide that we’re talking to you about.
David Togut: Understood. Thanks so much.
Frank Bisignano: Thank you.
Operator: Next, we’ll go to the line of Darrin Peller from Wolfe Research. Please go ahead.
Darrin Peller: Guys, thanks. Frank, I know you touched on the Forum, but I’d love to just hear your thoughts on demand from the banks right now and just in the context of the environment we’re in going into this quarter as well as volume trends in just merchant, more importantly, consumer trends into July, what you’re seeing across the ecosystem domestically and maybe internationally also.
Frank Bisignano: Let me talk about Forum because it was our really first post-merger physical Forum. We had done virtual ones, but demand gen at a virtual conference is not very high. The ability for our leadership team to touch thousands of clients, and we made a point of that, lots of listening sessions, lots of meetings. And that’s why I go through those three bullets that their desire to engage and spend is very high. Their desire to have us be part of their embedded strategy to help them grow their bank is very high. We watch the response to the commitment tracker. The fact that we want to lead the industry and meeting our commitments, you could hear somebody who is at the conference like Banc of California yesterday talk on their merger call about the strategic partnership they have with us. Their CIO was there. I heard from their CEO yesterday and their CIO. So we’re part of our clients’ growth strategy. We love driving it. It’s not a core-only play, it’s everything we bring around it. When you look at the acquisitions we’ve done, the receptivity to CardHub through Ondot, then I think you’d find the core competency in this company no longer for tuck-ins, but for acquisitions that we could do at a size and then turn it into a completely different capability. So demand is high, super high. Finxact, the amount of time Finxact got attention at Forum was off the charts. And it is the industry leader in current instances in the space it plays. I think relative to the consumer, they have a lot weighing on them now. They have the student debt issue. They have rising interest rates, and you’ve seen a moderation in volume. You’ve heard it and I think you’ll hear it across the industry, our business – July is similar to what we saw in the quarter. But our business mix has allowed us to deliver so many other services, leading with Clover, following with the other value-added services that allows us to be able to be in a position we are and we think we’re fortunate and blessed.
Robert Hau: Darrin, just to add on Forum, as a guy who went to three or four of them pre-merger, so the last time we had in-person, the tone of the conversation and the depth of the conversations was quite different this time. Deep innovation, partnership conversations, a change in customer service that is being experienced by our clients and echo the – Frank talked about the commitment tracker, our willingness to be very transparent on what we’re doing and why we’re doing it and the openness of our solution, enabling much wider breadth of capability, not only stuff that we bring, and that’s increased over time with our Payments and Fintech segment, both serving financial institutions, but having those open APIs and the Developer Studio that we announced a couple of quarters ago, giving our clients [Multiple Speakers] this.
Frank Bisignano: Yes, there’s probably – I’ll just add one other item, maybe two. One is our clients’ willingness to want to engage and talk to us about their innovation needs. It can only – I’ve said for a long time, innovation happens in the client’s office, not in our Sunnyvale office. And two, needless to say, when you’re in that environment, your pipeline build opportunity in the current and the future is very, very strong, and the amount of follow-up meetings are ever off the charts.
Darrin Peller: That’s great. Guys, when we – just my quick follow-up is just back to the spread between volume and revenue at Merchant. If we just took out the things out of your control like gas prices and process and the inflation, for example, and we just focused on pricing and software as a penetration, maybe even just focusing on the customers that are – you’re just processing for and have low revenue, how do we think about sustainability of those factors driving better revenue and for how long?
Robert Hau: Look, obviously, we believe the opportunity to continue to add value-added services and deepen that penetration. In our Merchant investor call, geez, a little more than a year ago now, we talked about Clover mass penetration reaching 25% by 2025. We’re off to a good start. We continue to focus on it. We continue to develop new capabilities there, and so we see that as an ongoing growth engine. And in terms of pricing, it’s about value-add pricing. It’s delivering the value to the client and then getting paid for that. So value-add pricing is sustainable. There’s certainly an element of a benefit of inflation in a different environment today. But we’re, quite frankly, we’re much more focused on creating that value for our clients and then being paid for it.
Frank Bisignano: Yes. And I mean just a very simple way of thinking here, we like to add merchants and we like to add them with multiple products and continue to sell products into our back book also.
Darrin Peller: Makes sense. Thanks, guys.
Operator: Next, we’ll go to the line of Tien-Tsin Huang from JPMorgan. Please go ahead.
Tien-Tsin Huang: Hey, thanks. Nice results here. Frank, I know you called out LatAm as a standout. You guys have had good results there. I mean just love your thoughts on some of the recent M&A in the region with Visa buying Pismo. I think EVERTEC also bought a fintech platform. Is there anything going on there that might change things competitively?
Frank Bisignano: Well, I’d go back to our Brazil business, which really is the largest business in Latin America and the rest of the region keys off of, in many ways, was created from scratch organically. And we built that business organically and then done some strategic things. I mean you hear us talking about Software Express, that was a very, very small acquisition that we believe could transcend our business throughout Latin America. We added tremendous banking franchises. I mean you look at what we talked about on Caixa here, right, we talked about the first leg of that, which was a very large deal that put us in fundamentally every city in Brazil with the leading bank in terms of size and scale. And then we came back – because of such a good job that we did, right, they came back and we went to work on what fundamentally are, call it, their lottery agencies. And BillPay is taking it and came up with a strategy that would take us to 11% of the payments. So we have great organic capability in Latin America. We brought Clover to Argentina. And we spent a lot of time, and the Argentinian platform changed and allowed it to be a dual acquirer as opposed to a single acquirer. And so those are all strategic things that happened there. So I guess what I’m really saying at the core is when we came into Brazil, we were actually the only U.S. player because everybody had retreated. And we had a deep belief with good leadership on the ground would in fact – remember, we don’t run an international business. We run three regional businesses, and then we dropped down to a model where country hedge drives the P&L there, but we run global business solutions. So I think our model is strong. I think that the action in these countries has always been going on, Darrin [sic] [Tien-Tsin]. And I think we like our hand, and we believe that these are strategic and will be opportunities for more, Tien-Tsin. So thank you.
Tien-Tsin Huang: No, I appreciate that answer, and I know you guys have really upsold Caixa, so it’s a great case study. My quick follow-up then for Bob, just thinking about the raised revenue and the margins, but no raise in the free cash flow, is this a timing issue given the higher working capital, the CAPI software investments in some of these growth areas? And can we expect free cash conversion to improve beyond fiscal ‘23?
Robert Hau: Yes, Tien-Tsin, you hit it right on the head. Obviously, we’ve raised the revenue guidance, and so that will bring additional working capital. And of course, as we continue to see opportunities to grow the top line with now nine quarters of consecutive double-digit growth, there’s investment opportunity out there. So we continue to feel quite good at delivering the approximately $3.8 billion and see the benefit of that as working capital comes in and gets collected.
Tien-Tsin Huang: Yep. Well done. Thank you, guys.
Operator: Next, we’ll go to the line of Lisa Ellis from MoffettNathanson. Please go ahead.
Lisa Ellis: Hi, good morning. Thanks, guys. I wanted to ask about Carat. You highlighted Carat was up 6% as reported, 14% excluding the one client roll-off there. Can you give us a little additional color, one, on just how we should be thinking about the scale of Carat within the Merchant business, either on sort of a revenue or a volume basis? I know it’s like a subset of the enterprise segment, which you’ve disclosed. And then also just elaborate a little bit on competitively how you see this platform is differentiated and whether or not Carat is – what this – is this mostly like new client sales? Or is a lot of this migrating existing enterprise clients onto an omni-platform? Just a little bit of elaboration there would be great. Thank you.
Frank Bisignano: Hey, thanks, Lisa. Thank you very much. I think, first of all, think of Carat as a go-to-market product for both our current book coming over, but that has not been where we’ve focused the growth effort. Sitting under it is an orchestration layer, which is created as Commerce Hub. And those first migrations will begin probably in the fourth quarter through the rest of time. And those will be new client migrations, right? This is a customized solution for the client that gives them total flexibility. I mean, look, we think it’s a double-digit – clear double-digit growth engine for us. We think it will scale over time. You should think about it, as we talked about over time, what type of e-com business we have total, obviously, enterprise piece is smaller than our total piece that we’ve talked about to you all. And I think you should think about it as a business that will continue to be powerful, call it several hundred millions of dollars growing double digits. And so hopefully, that frames the size of the opportunity. We have a large pipeline on it. We’re in execution mode. And we think, much like we believe Clover has become an industry leader, we believe Carat will be the industry leader.
Lisa Ellis: Great. Thank you. And then my follow-up, also just staying within Merchant for a second. If I think back to the deep dive you did on Merchant a year-and-a-half ago, I think you were expecting the processing piece of Merchant to be sort of flattish through 2025. In light of what you called out today, the sort of roll-off of one of – or at least a portion of one of your big processing clients, does that sort of change that outlook? Or maybe taking a step back sort of strategically, how are you thinking about the role of your processing business within Merchant going forward as you’re seeing such strong growth from Clover? Thank you.
Frank Bisignano: Yes. I think nothing has changed in our point of view. And maybe we could step back here to the day that Stripe left us. Maybe I remember it more, I announced to you that Stripe is leaving as a processing client within a JV. And I think people really thought, wow, but it ended up fine. If you think back, we continue to add processing clients. In many cases, sometimes we help processing clients grow and they leave other services with us. So I treat processing like it’s that $1 billion business and it’s fundamentally flat, and there’s been adds. And you have large scale to lease, but it has very little processing revenue impact because of how you all – why I always try to talk us off this volume versus revenue issue because we have a lot of processing volume, but it’s not the largest part of our business. So I would think about it exactly how we presented it. We will have volume leave on a quarter and we add volume back at other points in time. Does that make sense?
Lisa Ellis: Yes. Thank you. Thanks a lot.
Frank Bisignano: Thank you.
Operator: Next, we’ll go to the line of Jason Kupferberg from Bank of America. Please go ahead.
Jason Kupferberg: Thanks, guys. I just wanted to stay on Merchant to start. Can you put a finer point on where you expect Merchant revenue growth to land for the full year? And just as we start tuning back half of the year models, how much will this spread between revenue growth and volume growth potentially shrink in Q4 as you lap some of the discrete pricing actions you have taken?
Robert Hau: Yes, Jason, from an overall standpoint outlook for the balance – or for the full year, we previously guided 10% to 13% for 2023 on an organic basis. Now given the strength that we’ve seen in the first half and an improved outlook for the second half of the year and people still talking about recession, but more people are talking about a recession in 2024, the term soft landing is starting to come into lexicon periodically. I’m not sure we’re quite there yet, but we’ll see what the Fed does today. But things have certainly modestly improved in terms of the expectation for the second half of the year. So we now think the full year will be in the, call it, the 14% to 17% organic growth rate for our Merchant business. Continue to see good performance across the gamut with Clover continuing to perform quite well in terms of continuing the value-added service capability and the penetration of BaaS into the Clover portfolio and some of the things you’ve heard us talk about, both in the prepared remarks and earlier in the Q&A around the Carat and international growth providing a nice lift there.
Jason Kupferberg: And just on that spread narrowing potentially in Q4, just any modeling help you want to give us on that, so we don’t get caught offside there?
Robert Hau: In terms of volume versus revenue spread?
Jason Kupferberg: Yes, exactly, just because some of the discrete pricing actions you took last year, I believe, in Q4.
Robert Hau: Yes. And obviously, there’s lots of puts and takes, and then we continue to try to drive folks into focusing on revenue. There’s more and more revenue that is not tied directly to volume, and we’ve now been showing that quarter in and quarter out. So I think I’ll stick to the 14% to 17% full year outlook, and I feel pretty good about that.
Jason Kupferberg: And just as a follow-up on Fintech, just the visibility on the second half acceleration, I guess, implied in the reiteration of the full year guide and maybe some color on how you see Q3 versus Q4 because I know the comps are pretty lumpy during the back half of the year. Thank you.
Robert Hau: Yes, definitely. And so we do have good visibility into this space. And to your point, there’s lumpy quarters, as you may recall, and this will play in this – the third quarter and the fourth quarter. On a comparison this year, we had a what was felt by many as a difficult third quarter last year. And during the third quarter earnings call, we reiterated our full year outlook at 4% to 6% then. Fully expected the fourth quarter to rebound given the timing of both periodic revenue and some "one-time type" nonrecurring revenue that we see, what we refer to as in-year activity, particularly when clients are implementing. And we obviously have good visibility into the backlog of our implementation cycle. So we feel good about being able to deliver that 4% to 6%. We recovered and delivered last year quite well. That will drive different comparisons. First half was actually a more difficult comparison than second half last year. And then within the second half, third quarter will be an easier compare than fourth quarter, and so you’ll see some continued lumpiness there. But we feel good about the overall visibility and our ability to deliver that range.
Jason Kupferberg: Thanks, Bob.
Operator: Next, we’ll go to the line of Dave Koning from Baird.
David Koning: Yes. Hey, guys, congrats on four years. Great job.
Robert Hau: Thanks, Dave.
David Koning: And yes, I guess one of the key highlights to me in the quarter, the margins in Merchant, you had one of the best probably ever incremental margins, both year-over-year and sequentially, about 75% of the revenue growth hit the profit line. And I’m just wondering if – is that sustainable? And what exactly drove that – what drove such – is it mix? Or what was that?
Robert Hau: Yes, we’ve definitely had a good fall-through on that incremental. We saw similar levels fourth quarter of last year and definitely had continuing good fall-through over the last several years as we continue to expand margin pretty meaningfully. And it’s the benefit of overall volume and a scaled business, a very scaled business. And it’s the benefit of productivity, and we continue to drive productivity. Back in ‘19 and ‘20, we used the term synergy, which really is a synonym to productivity in many cases, particularly inside the Merchant business that didn’t have a lot of direct cost synergy as we merged. We drove real productivity, and we continue to do that. So we feel good about margin expansion overall, delivering 150 basis points margin expansion or better this year, up from the 125, and we think there’s continued opportunity here going forward.
David Koning: Great. Thanks. And just a quick follow-up. Clover revenue, about 8% above volume growth. So that’s part of the spread. Is that both product and pricing? And is that sustainable, too?
Robert Hau: Yes, absolutely. Again, we have a long path of continued penetration of value-added services that very much adds to that "spread" between revenue and volume at 16% this quarter, headed to 25% in 2025. And as we continue to provide value to our business customers and allow them to focus on running their business versus handling the payments and all of the ancillary services that are available on our Clover software operating system, that value translates into pricing opportunity and margin for us.
David Koning: Gotcha. Thanks, guys. Great job.
Frank Bisignano: Thank you.
Operator: Next, we’ll go to the line of Bryan Keane from Deutsche Bank. Please go ahead.
Bryan Keane: Hi, guys, and let me echo, congratulations on the strong results. Frank, one of the secrets has been the growth you guys have gotten through acquisitions and value-added services and especially looking at the Merchant segment. What’s the pipeline look like for M&A? And are there deals out there you want to make to continue to add and push up revenue growth above volume growth through acquisitions and value-added services?
Frank Bisignano: Well, I mean we’ve been looking at our history, whether it’s BentoBox, whether it’s Finxact, whether it’s Ondot, right, Software Express, right? That’s why I made my comment, they’re no longer tuck-ins, they’re more horizontal leverage. We have lots of minority investments that we hang out with, we get to know. I think that’s why our success rate. So if you went to the people at Ondot, they’re so delighted on how they integrated into a mobile banking platform that would have never been where they were headed. They were card control only. If you want to get BentoBox, their ability to come across in total. So we stay close to a lot of start-ups. We make minority investments in start-ups. We get to know them and then we get a really good shot at turning them into way more value. We have a fabulous track record of keeping founders. I’m darn proud of that. They become part of the fabric of the company. So yes, I think you should expect us to do more of those, less talk goes on here.
Bryan Keane: Okay, great. I know we’re running a little long. So I’ll pass the line. Thanks.
Frank Bisignano: Thanks, Bryan.
Robert Hau: Thanks, Bryan.
Operator: Thank you. And our last question comes from Ashwin Shirvaikar from Citi. Please go ahead.
Ashwin Shirvaikar: Thank you. Let me add my congratulations as well on the good quarter. If I can ask, Frank, you mentioned a couple of times over the last few quarters, Clover isn’t necessarily being applied to the back book. Could you talk about the opportunity there? It seems to me, the yield that you’re increasingly getting from Clover, as the capability set increases, is better and better. So if you could talk through that plan, that would be great.
Frank Bisignano: Yes. I mean, first of all, I think what you’re asking – you broke up a little bit, but I want to make sure I understood. Are you asking about what we’re going to do at Clover into the back book?
Ashwin Shirvaikar: Yes, that’s what I’m asking, Frank.
Frank Bisignano: What’s the size of that prize? Well, start at a, when we did our March Investor Day on the Merchant business, there was no Clover back book consideration into that. There was consideration from going into the back book and selling more value-added services. But you should expect us, at some point, to strategically lean in, but that’s an opportunity in front of us. I think we see the ability to actually go into our current Clover client base and bring more software services. And we think, obviously, that continues driving the spread between volume and revenue growth in Clover. But I’ve been on the Clover journey 10 years back to – maybe it’s really heading to 11-plus years, but really counted right, sorry about that, and that started with a few engineers and a few patents. I still believe we’re in the super early innings in the amount of real estate we have that we can utilize with Clover and the amount of real estate we have inside our client base that can allow us to bring Clover. But go back to it’s fundamentally not in our guide that we gave in last year, and you should expect us to give you a super-duper deep dive on this at Investor Day.
Ashwin Shirvaikar: Great. And then a quick question with regard to the sale of the financial reconciliation business. I might have missed it, but what’s the revenue and profit impact of that? I did see the proceeds, $230 million.
Frank Bisignano: Yes. Let me make a point on that. You will always look at us looking at our strategic position. We believe we’re an industry leader. We have to be a top three player. We want to be prudent about capital allocation and where we deploy our internal capital. And for us and our clients, we were not the industry leader. We did a good job for them. It is not a future growth engine of the company. And so that’s fundamentally how that decision gets made, right? And you will continue to see us do this. You saw us do that with Korea. So I want you to have that framework.
Robert Hau: And Ashwin, in terms of size, this is a very small business. Order of magnitude, it’s less than 0.2% of last year’s revenue.
Ashwin Shirvaikar: Got it. Okay. Thank you.
Frank Bisignano: Well, thank you, everyone. Thank you for your attention today. Please feel free to reach out to our IR team with any questions. Look forward to talking to you in the future, and have a great day.
Operator: Thank you all for participating in today’s second quarter earnings conference call. That concludes the call for today. Please disconnect at this time, and have a great rest of your day.